Nigel Wilson: Good morning everyone, and thank you for joining us. The usual etiquette about mobile phone applies, and also the standard disclaimer about forward-looking statements. Legal & General’s executive team share collective responsibility and accountability for our performance. So this morning, I will introduce the results. Mark Gregory, our new CFO, will take you through them in detail. And John Pollock and Mark Zinkula, will overview the performance and strategic direction for their businesses. And I will finish off with outlook. Other key members of our team are also in the room, and will also be available to answer questions. You will hear from the full executive team. This reflects the new management, and business structure we are putting in place. We are creating Legal & General that has five profit centers but is one brand, one set of values, one set of shared goals, and I see our simple structure as important in delivering growth and value. First, in combining Protection and Savings, under John Pollock’s leadership, we are merging together two very big businesses. This presents a substantial challenge for John and his management team. They will however deliver cost synergies. There are also revenue synergies from reducing silos and driving up cross-sell by presenting our Retail, Direct, and Corporate Customers with a better multi-product offering. Our cross-selling is too low. And despite our very strong performance on costs, that’s still too high. Combining Retail Investments and LGIM, under Mark Zinkula’s leadership and his team, enables us to leverage LGIM’s institutional excellence in the Retail space. We need to improve our Unit Trust business and move it significantly from its current 11th place in the market. Our performance in the DC market has lagged and to-date we’ve had minimal presence in the Private Wealth business. Bringing Annuities under Kerrigan Procter, that’s closer to L&G Capital and closer to LGIM, similarly makes huge sense for business with increasingly sophisticated wholesale international dimension. We’ve recognized the need to grow annuity net inflows, including individuals, and we have been successful, but there is much more still to do. Consolidating L&G Capital and Direct Investment under Paul Stanworth, enables us to deliver higher returns by coordinating our global asset and liability managements, and by disciplined deployments of capital into Direct Investments. We have to deliver greater risk-adjusted returns from executing this strategy. And Jimmy Atkins in L&G America has made good progress in growing cash and profits and getting LGA from its number 11 position to number three in its markets, but our business in the U.S. is single products and through a single channel, and there are many opportunities to scale this business. This is another very strong set of results. The direction of travel at Legal & General is consistent. The pace is accelerating, good growth with strong financials. Operating cash up 14%, net cash 23%, operating profit up 10%, EPS 13%, DPS 22%, ROE up to 16.8%. And as I’ve said before, Legal & General is a simple business in a complex world. We’re selling the right products at the right prices through a variety of distribution channels. We execute efficiently and we have an efficient model which enables us to deliver rising dividends to our shareholders. However, we’re not complacent. We are still very much work in progress. There are many challenges and there are huge opportunities, so there is still much to do. This slide marks our strategic progress. Everybody sleepwalked into the financial crisis. Policymakers successfully contained the recession through monetary method and it worked. Post the financial crisis, Legal & General’s response was to focus on cash, de-risk our balance sheet, and industrialize our processes. This enabled us to show exceptional resilience during very poor economic climate. However, this has resulted in us being in great financial shape as economies improve and presents us with many growth opportunities. The cash focus was successful and we will retain that focus and that discipline. And this has been a really solid six months of execution by my colleagues. There is strong evidence that in the last year, we’re moving from thought leadership to do-it leadership. For example, three M&A deals in three months and in three of the growth sectors that we identified. CALA Homes in the Direct Investment sales space, Lucida in the Retirement Solutions, and Cofunds in Digital platforms, all well executed. And I’m confident there is more to come from Wadham and his team. Our first international Bulk Annuity deal was completed in the half. We’re also innovative, as we executed a £3.2 billion longevity contract, more of both to follow. There was continued progress in the international expansion of the LGIM. We have now won 47 customer mandates from U.S. clients with many more to follow. And the launch of Passive in the United States and Asia will both be positive. The five macro drivers that propel our business have not changed. This is not a surprise as they are long-term trends, they are being increasingly recognized as such, not just by us, but we were early identifiers and we increasingly leaning in to the trends where we see them playing more strongly to our strengths. For example, ageing populations in Retirement Solutions, our Annuities business both Retail and Institutional, is now reaping the benefit of the baby boomers with DC pensions. Workplace savings is very strongly positioned in the sector which has the potential to copy their success of Australia. We are developing powerful Direct to Employer, D2E propositions, and LDI very much part of the pension de-risking Retirement Solutions package delivered a 73% increase in gross flows into LGIM. In Digital, the Cofunds purchase gives us the largest market share in the U.K. in platforms business, over 20%. The sector is expected to double around £500 billion by 2017. In Welfare Reform and Protection, risk sharing is providing a growing role for Legal & General. It is economically vital and increasingly politically acceptable. It is already established in pensions. It’s happening now in Protection, where we are the number one provider in the U.K. and ultimately will happen in the funding of long-term care, where we are working closely with the government following the Dilnot Review. Homogenous Asset Markets and the internalization of LGIM, index, real income and solutions businesses are all predicted to grow. These are businesses that LGIM increasingly specializes in and where we have demonstrated we have the international capability to grow. Bank Retrenchables and Direct Investments; in Europe according to Commissioner Barnier’s recent Green Paper, 85% of financing is provided by banks, but banks today are receiving or will receive aid close to 37% of the new GDP. That’s a very different model from the United States. No wonder the Commission wants to do more to channel savings towards long-term investments. Everyone now recognizes that institutions like L&G are core to this strategy. And indirect investments, means that Legal & General Capital is able to execute to deliver enhanced returns, for the annuity book and to shareholders. An additional 50 basis points on the £4.5 billion of shareholder funds equates to £22.5 million. An addition of 20 basis points on a £33 billion books is £66 million. Opportunities include; infrastructure, direct investment, bilateral lending. Again, we have to execute well. We have £4 billion invested in infrastructure and direct investments already. We’ve already invested in social housing, student accommodation, transport, distribution, and solar energy. We intend this opportunities arise to bring more of our overseas bond investments back to invest in more tangible assets here in the U.K. including helping to develop a U.K. private placement market. We also have no burning platforms. Even the persistent regulatory break on growth caused by the uncertainty around Solvency II showing signs have been taken of. We believe that at last, a settlement that will work is within reach. The U.K. treasury and the PRA are fully engaged and making good progress. The direction and speed of travel is better than any stage so far. So with five clear profit senses LGIM, LGAS, LGA, Annuities, and L&G Capital which includes Direct Investments, we are well positioned to be able to accelerate growth in line with the five macro trends and deliver value to our shareholders. We have the right strategy, and we have to continue to demonstrate the ability to execute well and execute consistently. I’d now like to hand over to Mark Gregory, to take you through the results in more detail.
Mark Gregory: Good. Thanks, Nigel and good morning everyone. I would say these are great set of results for me to start with as CFO. We’ve talked previously about the importance of both sustainability and growth. And this helps to illustrate the further progress we’re making. Growth is being broad based right across the business, both in terms of trading and in cash and earnings generation. Our cash generation is high quality. The vast majority of it flows up to the Group level and is available as sorted dividends to our shareholders. So, let me take you through the financials, starting with the business performance. We delivered further growth in our businesses, building a stock which is the single biggest driver of profitability, not just this year, but in the future. Growth highlights included, £7.5 billion of LGIM net inflows coming from international clients and the U.K. business also delivered net positive inflows. Total annuity sales of £1.4 billion were up 142% year-on-year. Savings in assets under administration of £111 billion, versus £70 billion at the full-year following the Cofunds acquisition. Gross written premiums for U.K. Protection were up 3% to £689 million, and GI premiums were up 10% to £183 million. The sales in U.S. Protection were up 6% to $70 million APE, which combined with our retention levels meant that – gross written premiums for the U.S. Protection were up 10% at $503 million. Our strong six months also saw net and operational cash up 23% and 14% respectively, operating profit up 10% at £571 million, and EPS of 7.82 pence, up 13%. Finally, the balance sheet remains strong with an IGD surplus of £4.1 billion, and the annualized return on equity strengthened further to 16.8%. The key message here is that while we’ve had strong growth over the last two years, which is illustrated on this graph with a compound annual growth rate shown, actually what was being delivered in the first half of this year, accelerates that rate of growth, across all these key metrics; operating cash, net cash, Group operating profit and total sales growth. I think equally importantly, this is exactly what we’ve said we were trying to achieve. We said we move the strategy on from being a cash story to cash in growth. And now you’ve seen that cash plus growth story to coming to reality. In time, we expect the third leg, selective acquisitions to also make a meaningful contribution to our financials. The strongest growth in all of our financial metrics has been increased in net cash generation up 23% to £0.5 billion. What this slide does, is explains to you that the net cash generation – how the net cash generation has been delivered. So we see a strong improvement from the contribution of LGIM up 9% to £106 million, in a stronger contribution in terms of growth from Annuities which saw £17 million of new business surplus augmenting the 7% in operational cash. In Housing and Protection, we saw a 54% increase in net cash to £126 million, driven by our increased scale in Retail Protection, lower new business strain and an outstanding result from our General Insurance business. And savings in our U.S. Protection business also made meaningful additional contributions to net cash generation. Overall, what we see is on the benefits of scale and greater efficiency and our multiple sources of cash generation. Here you see the link between operational and net cash generation feeding through the profit before and after tax, and how this in turn is funding the dividend growth that we announced today. So, very clear and transparent visibility between the operational cash growth and profits and dividends, just as structurally is designed to do. Moving on the end to individual divisions and starting with LGIM, our global asset manager. Here you see further strong progress from LGIM with revenue up 12% and the cost to income ratio remaining market leading 45% in the first half of this year, resulting in operating profit up 13% to £135 million. Zinkula will cover LGM in more detail a little letter. Onto Annuities, what we’re talking about what consider to be the leading annuity provider in the U.K., and again more superb progress. Net cash generation, up 20% benefiting from larger scale as well as writing new business this half year which generated an IFRS surplus of £70 million on the back of the £1.4 billion of the new annuity premiums. New business embedded value margins are up 8.4%. This was an outstanding six months for our Annuity business. We saw record sales of Individual Annuities, up 44% to £754 million and we are the beneficiaries from open market options, 79% of those individual annuities sales was sought externally rather from our own internal pension book. We’re also growing our enhanced annuities where premiums doubled in the period. Bulk Annuity sales of £670 million, were up 10-fold as we wrote 45 policies, including our first one from outside the U.K. We’ve also completed the largest longevity insurance contract in the U.K. to-date over £3 million for BAE Systems. This slide underlines many of advantages we have in Annuities. We have been on this business for over 30 years and therefore have a huge amount of data, and equally importantly, we have the experts to analyze that data. So we have a deep understanding of the nature of longevity risk and its likely future development. In addition, we have the key benefit of having LGIM as an integrated fund manager with its proven strength in Active Fixed Income and LDI, to develop and deliver the asset strategy which is so key to this business. Annuities is a growth business with rich opportunities in BPAs, longevity deals, international transactions, buying back books, as well as driving up individual annuities as more DC pension savers reach retirement. We’ve already written £0.5 billion in July, and the Lucida deal brings up further £1.4 billion. The task for Kerrigan and his team is one of execution, to push up net flows and grow the stock of business from the figures shown in the first half of 2013. Moving onto Housing and Protection. We saw operating profits, up 12% to £168 million. Within this, net cash was up 54% as we benefited from increased scale and a £10 million reduction in new business stream due to the removal of Retail Protection from the old I minus E tax regime. This was partially offset by annuities’ margins down from the super levels that we saw in 2012 which resulted from the volumes spike in Q4, ahead of the introduction of gender neutral pricing. Having said, that we have seen a strong bounce back in volumes in Q2, where sales were up 6% year-on-year to we now see a return to normal levels. We will therefore expect the margins being achieved on new business sales in the second half of the year to increase, compared to the first half, although not back to the same levels we saw in 2012. GI had a very strong results. It benefited from very benign weather conditions and also from greater efficiencies leading to an excellent combined operating ratio of 81% for the first half of this year. In the U.S., sales were up 6%. We’re now the third largest writer of term assurance in the United States. We have over one million policies in-force. This business has good growth dynamics, writing new business with a 10% margin in the first half of this year and producing operating profit of £81 million. As a reminder, we’ve recognized net cash in L&G America as a full-year dividend which is received in the first half and which was up 10% to $66 million. So, good momentum in all of our Protection businesses. Moving onto Savings. Many of you were with me in May when we outlined our strategy for transforming our Savings business into an asset gatherer. In the first half of this year, you will see some of this aspects coming to fruition with net inflows of £2.3 billion into our growth businesses. We are also seeing a spike in maturities in the 25 anniversary of the 1988 endowment peak, but overall we saw new inflows in the first half of this year of £100 million, and we have total closing assets under administration including Cofunds of £111 billion, up from £70 billion. There has been good growth in the business with operational cash generation up 8% to £95 million. The business has been written more efficiently with new business strain down to 1.8% of new business premiums. Remember, that was 5.5% back in 2008. So we’re now roughly three times more capital efficient of writing new business than we were back then. In the absolute value, the business strain came down in the first half despite a much – strike writing much higher volumes of workplace pensions. Operating profits in Savings were £62 million, with 14% increase in net cash, offset primarily by reduction in tax synergies in our life fund impacting our insured savings business. We have a very strong balance sheet and generated a healthy return on equity. We’re keen to make sure this remains the case, and hence we have a strategy and a discipline around the deployment of capital. We will maintain the same disciplined approach to capital deployment of our selected acquisitions. We continued to see many opportunities to grow our business organically and we’ll continue to deploy the capital in a way that generates healthy returns on risk-based capital. And continuing with all that L&G has stood for in the last few years, we’re always looking at ways of making the business evermore capital efficient, through expense efficiencies, and through making sure that our balance sheet is being perfectly rewarded for the risks which choose to run and where we have competitive advantage. And finally, today we’ve have announced a very strong growth in interim dividend up to 2.4 pence from 1.96 pence at the interim stage last year. We are committed to reward the shareholders business for the success the business is having. We recognize its shareholders’ capital we are deploying. Therefore, we aim to get a healthy return on that capital. As Nigel says, we are beginning to see progress in the journey towards greater clarity on Solvency II. Assuming this progress continues, then we hope to be able to provide greater clarity in due course on how we intend to progress the dividend. In the meantime, we can see how our dividend is benefiting from continued business momentum, which in turn is delivering greater cash generation. So in summary, we’ve delivered a very strong trading performance with sound growth across all businesses. Growth in the stock of our business which is driving profitability, hence growth in operational cash, growth in net cash generation, growth in operating profits, and perhaps most importantly of all for shareholders, growth in the interim dividend. And with positive on the prospects for the business going forward. I’ll now hand over to John.
John Pollock: Thanks, Mark. Good morning everyone. I’m delighted to be here talking to you about LGAS. Managing Savings and Protection brings together two innovative market leading businesses each with very strong track record. Collectively, LGAS brings competitive advantages, new opportunities and synergies. Over 10 years, we have grown Protection gross premiums by £1 billion to £1.3 billion, and driven strong profit growth. And over the last four years, Mark and his team have successfully turned the Savings business around. With deep and strong foundations, it can grow into a scalable efficient asset gatherer. Mark told in you May of his aspiration to deliver annual average compound growth in total savings assets of 10% to 2017. I will be really disappointed if we can’t achieve that goal. LGAS businesses are central to three of the growth drivers Nigel outlined. Shifting risk from the state to the individual creates a need and an opportunity, particularly in the Retirement and Protection markets. Our recent deadline to the Breadline report showed that people have an average of just 18 days between an unforeseen event occurring and their savings running out. It’s not enough. It creates a clear imperative for society, and an opportunity for trusted providers such as LGAS. In each one, we saw some of themes coming through. We’re strong in Retirement Solutions, substantial net inflows of £0.7 billion for workplace, now gives us over £7 billion assets on our workplace platform virtually double than 2011 level. In H1, our SIPP platform Suffolk Life gained material net inflows of £300 million, and that platform is approaching £6 billion. We remain the leading Retail Protection business in the U.K. and we successfully navigated gender neutral pricing. Average Retail Protection, APE over the last three quarters was £36 million in line with the previous three quarters, but with volumes rising back above equivalent 2012 levels in the last quarter, and lower lapses the GWP continues to grow. Auto enrollment is working well for us over with over 90% of our new joiners staying in the schemes. We need to focus on profitability here, but there is a clear synergy gain with Group Life where volumes up 44% against 2012, as employers add benefits like Death in Service and Group Income Protection to their new pension schemes. LGAS brings together the UK’s leading Digital platforms in both Protection and Savings. Cofunds attracted net inflows of £3.5 billion and is the UK’s largest platform with £54 billion of assets. Our protection platform is the most automated in the U.K. 80% of our customers are fully underwritten online when they apply. The continuous focus on automation since 2000 has brought down unit costs in Protection by almost 60%. Still online, our Group Protection Quote and Buy portal has already been used by 1,300 employers. Enhancing our Digital capability is a clear key strategic priority. Platforms are more efficient and better for customers. Cofunds is at scale and we can build bigger, more efficient, more automated processes to outperform in attractive growing markets and driving revenue at multiple points in the value chain. Cofunds has the leading market share of around 20%, and is well placed to take full advantage of market growth. Only 8% of the investable asset pool in the U.K. is on platforms, so headroom remains. Fundscape’s forecast is for the market to double over the next four to five years. We have already started the Cofunds integration. The new L&G management team has delivered over £3 million of annualized cost savings so far and we are comfortably on track to deliver the £11 million per annum savings by 2015 that we identified when we did the acquisition. We already have broad based scale in distribution, through our unique mortgage network, our IFA presence, to our unrivaled bank and building society footprint, employees of our large workplace businesses, and our managing direct channel where we are already the largest provider of household insurance online. Cofunds gives us further opportunities to join up propositions for different customer groups, both corporate and individual, and also to continue to access these customers in the manner of their choosing, despite the rapidly changing and more digital distribution environment that we see today. LGAS is already a high-scale, low-capital, cash generative business. And it can leverage further profitable growth from our strength and key growth markets. Housing and Protection provides a strong engine for cash and profit. We will maintain and build on the leadership in Protection and broad channels of distribution, including the L&G network which now accounts for one in seven mortgages sold in the U.K. In Savings, we are on track to achieve the same virtuous circle that is what is sold out in Protection. Industrial scale and highly automated efficient processes, driving customer value, in turn driving further scale economies. We know the mature savings market and assets will gradually decline, but it’s my goal to retain customers and drive up the contribution from our growth businesses, reducing costs as the legacy assets run off, to ensure the profits from the matured businesses can be distributed or selectively reinvested for growth. Merging to large businesses will create significant synergies, both revenue and costs. We are already identifying these, and I will update you later in the year. In summary, we have the track record, the brand, the financial strength, the propositions and the distribution reach to deliver further profitable growth in the Protection and Savings market. We have the skills and commitment to deliver the benefits of our combined business for customers and our shareholders alike, and to be a force for good in society. Thanks a lot. I’ll now hand over to Zink for LGIM.
Mark Zinkula: Thank you, John. I’d like to start by discussing our key metrics, which show the ongoing developing of our asset management business with strong product and cash delivery. Our operating profit of £135 million increased 13% during the first half of the year. This reflects growth in revenue as a result of AUM growth, and efficient cost to income ratio of 45%. We maintained the low cost income ratio while continuing to invest in the business, in particular in infrastructure and resources to enable further geographic and product expansion. We’ve had exceptional new business growth, once again experienced across all of our core businesses of index, LDI, and fixed income. Highlights during the first half include net inflows of £7.5 billion from international clients, and £5.7 billion in LDI gross inflows, as our expertise in Retirement Solutions continues to attract growing interest from pension clients. We’re now the largest manager of LDI in the U.K. with over £70 billion in assets and over £140 billion of derivatives under management. We expect these trends to persist as we continue to execute on our strategy. Our key part of our strategy is the ongoing expansion of our international business, and this slide shows the evolution over the past several years. Our AUM has grown from £15 billion in 2008 to £52 billion today. Since the beginning of the year, we’ve received inflows from clients in each of our targeted regions. We continued to grow our footprint in the Gulf and Europe, adding new clients while also expanding existing relationships, with offering an innovative range of passive capabilities as well as active capabilities. In Europe, gross inflows of £4.7 billion illustrates the success of our strategy of targeting the largest investment pools in the region. And we’re in the process of further expanding our product range. We’ve also just received regulatory approval in Hong Kong to allow us to actively market our capabilities in Asia. And our team in the U.S. continues to deliver excellent performance across this range of strategies. AUM has increased to £22 billion of the active fixed income and LDI proposition, attracting growing interest from clients and consultants. In the first six months, we added eight external clients and now have 47 direct external clients, including several of the largest clients in the country. The vast majority of our assets are managed on behalf of pension plans, and we’re well position to provide a wide range of solutions for the fund benefit and define contribution plans. We continue to experience significant inflows into our LDI and fixed income strategies as pension plans de-risk. Much of our success over the last few years has been with large clients, and we’re in the process of rolling out a digital solution to help smaller clients de-risk. As a defined benefit market matures, we’re increasing our focus on growing our DC business. A good example of a recent progress is a recent announcement by NEST that they have awarded us two property mandates. It’s first growth investment in a property asset class. We’ve also made several key hires in our asset allocation team, and are expanding our range of multi-asset products by leveraging our core areas of expertise, as we expect growing demand for these types of products over the next several years. And we’re repositioning our active equity team to move away from strategies that are consistent with our brand, where that directly compete with our index business, and instead focus on funds designed to make high objectives in the DC and other target markets. We’ll be in a position to share more information on our plans in this area in the near future. Finally, we continue to make progress in maximizing the expanding synergies between LGIM and other parts of the Group. We’ve just begun the process of integrating our Unit Trust business into LGIM. This will allow us to have a more joined up approach to product development, have a more efficient and streamline business model, and to be in better position to deliver LGIM strengths as an institutional grade investor to the retail market. We’re working closely with our workplace savings platform and benefiting from a growing allocation of our expanding range of funds for the DC market. And our already close relationship with the Annuity division continues to develop, both in regards to client engagement, as well as expanding their investment strategy into direct investment opportunities. During the first half of the year, we successfully invested over £500 million in property and infrastructure investments, and are taking steps to increase our activity in these asset classes going forward. And I’ll hand it back over Nigel.
Nigel Wilson: Thank you, Mark, John, and Mark. Legal & General has a clear, strong, and evolving story and I am very fortunate that we have such strength not only amongst my executive colleagues, but also increasingly throughout our organization. The changes we have made are an important step in our continued evolution. And I’ll round off the formal part of this presentation with three observations that I feel are important to our outlook. First, you’ve seen how we have driven much more by macro trends done by short-term economic changes. This is part of the next explanation for our resilience in the period since 2009, and it will remain the case that our business model will benefit from demographic, technology, and social changes but we can’t ignore the broader economy. Our LGIM economists see global growth gradually strengthening through H2 and into 2014. Last year, we spoke at this meeting about the triangle of austerity, fiscal, regulatory and banking austerity, and the opportunities they created for Legal & General. The opportunity now exists to turn the triangle of austerity into a triangle of prosperity, as we invest in vital infrastructure, shift away from state welfare to direct provision by individuals or through employers. Also, we expect EU and U.K. financial regulators to capture with their colleagues in the U.S. that is regulation that reflects economic reality and that facilitates growth and investment. My second quote is about internationalization. L&G is spreading its wings. In the U.S. we are now the number three provider of life cover. LGIMA is rapidly acquiring mandates and showing leadership in the LDI space. And we are only just launching index products in the United States and in Asia. We have mandates from the sovereign wealth funds in Asia and in the Gulf. In BPA longevity, we are starting to move outside the U.K. Our newest structure will enable us to get more staged benefits for our French and Dutch businesses, both in product developments and in capital managements. We are restructuring our MENA joint ventures in the Gulf Region and looking for ways to build on the presence, which the IndiaFirst JV has established. My third and final point is that our restructure will make us a leaner, more customer-focused company with five clear profit centers. What we are creating at Legal & General we believe is unique in the sector. Its DNA includes our 176 years of life office heritage with its traditional financial strength, strategic discipline, customer service, and social responsibility. But Legal & General also has versatility. The ability to provide a wide of range of Protection, Savings, Investments, and Annuity Solutions to our millions of individuals and thousands of corporate and institutional customers. We put the customer at the heart of what we do, and we’re also becoming a destination for talent. The model we are creating is rooted in the life sector, but it’s scalable through savings and investment management with additional value-add through institutional trends and direct investment. It is highly attune to what is happening in our economic policy and our regulatory environments, and it goes beyond the traditional scope on the scale of the U.K. life office. So I am excited by our prospects. The second half of the year, as Mark, John, and Mark talked about has started very well. We are strongly positioned in the short, medium and long-term, and we have an excellent management team who can deliver and execute on our strategy. I’ll now like to hand the floor open to questions. Could you just name who you are and the company you represent? Who has got the mike?
Andy Hughes – Exane BNP Paribas: Andy Hughes at Exane BNP Paribas. Three questions if I could. The first one is on the Protection business. Obviously the thing it seems to me is that you may be getting peak level sort of net cash this year from U.K. Protection as result of the tax changes, so you’re benefiting from the reduced new business strain result of the higher tax rate, is it right, but when I look at the future cash flows, they’re going to be significantly lower as implied by the lower new business margin you’re earning which is significantly lower than it was last year. So, is it right to say this year is kind of peak cash for the U.K. Protection business? Second question is on Annuities. Obviously you’ve written a lot of enhanced annuities this year relative to last year but you’re still kind of in line or below market share on enhanced annuities, has the non-enhanced part of the world which is, you’ve been specialized in the past, have you looked back at that and said maybe the mortality experience of those is going to be impacted by the presence of the enhanced annuity market i.e., we’re getting longer life expectancy, than we expected coming through that market? And the third question is on the savings net flows, obviously you showed big inflows and outflows of savings but there is no way to scale the actual fees you’re earning on the inflows and outflows, so I’m assuming that the inflows are significantly lower fee income than the outflows. And, could you tell me what’s going on, are you reducing expenses in the same rate of the net fee income is being reduced? Thank you.
Nigel Wilson: Thank you for your positive questions there, Andy. We’ll take them all in turn. I think the general point is that I think we’ve all including ourselves tended to underestimate the operational net cash generation of our businesses. I know that we’ve done our own internal modeling for a number of years, and some of you’ve pointed out the need for us to be more ambitious in areas like the annuity market. We’ve held back whilst we’re being building our infrastructure and our people capabilities. So that when we execute we get to execute very well. I’ll let Mark, John, and Kerrigan have a go at the respective three questions.
Mark Gregory: Yes, just on the question around the impact of net cash generation going forward for Retail Protection. And we’ve quite clearly highlighted that we have this benefit of the removal of retail [ph] Protection from the I minus E regime which came in effect at January 1 of this year. There is a little note in our publish that kind of quantifies all of that benefit. It’s just very, very simple. It used to get tough on the acquisition costs on the straight seven – across seven years. We now actually get them all in one go. So what you see is a permanent increase in the tax benefit we get from that, but we will see a lower – sorry, lower release of margins over the subsequent seven years. We can get back than we first thought of, but actually there is a pull forward acceleration of cash profit. So, that’s what’s going on there. In terms of the impact of margins, you’re quite right, Andy. I think the margins, I’d say on Protection do flow through quickly into our IFRS profits and cash numbers there, so that is a key number for us. As I indicated in my speech, we are expecting margins second half of this year to go back up from where they were in the first half, although not back to the level we saw last year which was exceptional levels based on some very peaky volumes ahead of the impact of gender neutral pricing. So we are predicting margins get back to perhaps to more normal as we’ve seen in prior years.
Nigel Wilson: John, do you want to comment about the H2 margins versus H1 margins and margins going forward in the Protection business? Kerrigan, then can make a few comments on the Annuity business.
John Pollock: Yes. I mean I would probably say I’m slightly offended by that, Andy, given our track record in Protection. The scale of the protection business, we’re growing the GWP is far more material in the long-term cash generation of the business than the minor changes that happen around tax or regulatory regime. I’m still very, very confident that we’ve got lot of opportunity to grow the Protection business going forward. And the synergies that I talked about on LGAS give us the opportunity to sell more of it, highly automated way retain longer lower lapses should result in benefits coming through. Your other question, so margins for H2, I would expect to be better than we have reported than the first half. And we continue to see our competitive position leading the market. As far as the other question on Savings, if you like, as both Nigel and I alluded to in the presentation, we are very keen to exercise the cost synergies that we see in bringing LGAS together. That’s an important and ongoing factor for Savings profitability. And as I said in my speech, I will be coming once we’ve had a chance, Andrea is leading the project from. Once we’ve had a chance to have a really good look at it we’ll come back and give you a much sure update on what those synergies will mean for our expenses and therefore the implied margins.
Kerrigan Procter: Thank you, Andy. So you second question was on enhanced annuities and the risk of anti-selection in that market. So as you currently pointed out, we’ve more than doubled our volumes since H1 2012 in the enhanced annuity market. It’s a really exciting market for us as we deploy our capability increasingly into that market. We can see a great prospects if the price is right of course. And your question about whether we’ve been aware of anti-selection in that market, and the risk of healthier lives only going to standard annuities. Yes, categorically we have. Over the last five years as the enhanced market has grown in the open market option, then we have been continually adjusting our standard rates to allow the increasing number of healthy lives that will be in that category. So, as you know roundabout 65% or 65-year olds have a medical condition, if I add to that, then it takes 40 years to save for pension, 20 years for pension to be in payment and only half of them go online and fill in your medical conditions. Yes, of course we assume that if you come for the standard market, you’re going to be healthy and we prosper.
Andy Hughes – Exane BNP Paribas: Thank you.
Nigel Wilson: Can we just have on mike. Yes.
Jon Hocking – Morgan Stanley: Jon Hocking, Morgan Stanley here. Three questions please. Could you talk a little bit about the risk appetite you’ve got for the asset mix backing shareholders’ funds. You seem to be talking about doing slightly more ambitious things with the investment. So I wonder if you can talk about the risk controls you’ve put around that and what the time allocation might be? That’s the first question. Second question, was Mark hinting about a rebasing the dividend when you get some clarity on Solvency II, and what further color can you add around that? And then finally, on the asset management business, you talked about Unit Trusts and Active equities. I just wondered if you could give a little more color of what you’re doing in the active equity spaces in retail, institutional in U.K. international and how we might think about it going forward. Thank you.
Nigel Wilson: Thanks, Jon. I’ll ask Paul, and Mark Zinkula to pick up those questions in a second. I think there were couple of points and clarification first, is that on the whole synergies between putting the two businesses together, John is going to hold a conference call probably in late September or October. Andrea is being – October, I’ve been told by Andrea. It’s October. One single look. And really much greater clarity around all of that, there is a lot of work been carried out already but we want to give a very clear presentation around that, which will give you some color on the projections going forward in that business. And the dividends again, Mark, made a point very clearly that at the full-year end, he is going to give a complete comprehensive outline of the dividend policy going forward. I think to be certain Mark, he’s been Finance Director for I think all of five weeks now. None of them five been long and hard weeks, but we wanted a bit to highlight the signals that we’re going to continue with the way of progressive dividend policies there, when we get really clarity on that at the year-end. You’re right to talk about the shareholder funds. As I mentioned, I think there is a more a better risk-adjusted return if we can on the shareholder funds. And maybe Paul, can talk about the things that he is doing in the Direct Investment space first. And then Mark, can you talk about the more ambitious plans that we have improving our lagging DC performance and how you’re going to reenergize the active business going forward, and including the Private Wealth options that we’ve got for further growth. So, Paul?
Paul Stanworth: Yes, thanks very much. As far as the shareholder funds are concerned, our aim is to manage the risk in the shareholder funds so that we can maintain a certain level of solvency and earnings stability. And currently, the portfolio itself has got very, very tradable portfolio. And what we’re looking to do is to increase our Direct Investments that go into that portfolio largely because that surface is really attached to a solvency margin that itself is part of the Annuity business. And we can see better risk-adjusted returns, by taking asset exposures which traditionally ensures perhaps didn’t take, but increasingly we will take, mainly because the banks have crowded us out the market over the last couple of decades, and we’ve made some inroads with that, with CALA. And CALA itself is an example that gives us a number of synergies in terms of – for instance, developing our land banks with shareholders’ funds have, and also developing the synergies in terms of financial support to that company and that’s an example and we have to have more of those in the shareholder funds to utilize the investments there. The important thing that we’re looking for is investments to meet our total target rate of return, but those also can support our social purpose agenda, and also the synergies that we can get out of those investments and sales. Further example is – so in these banks which we put into the energy funds and those in sales of credit synergies to allow LGIM to be able to create product so they call sell to its existing client base, who themselves are looking to go into Direct Investments themselves. So the shareholder funds and annuity funds are both to create synergies and to increase risk-adjusted returns, but also to support the organic growth of the Group itself.
Jon Hocking – Morgan Stanley: So, can I ask a follow-up on that? So to what extent are you going to end up with the similar asset mix in the shareholders’ funds as the assets back in neutral liabilities, and is that not sensible given the fact you want to have your shareholders’ funds uncorrelated from the risk in the annuity?
Paul Stanworth: Yes, I think the target profile that we’re looking at the shareholder funds is going to have a different sort of term profile to the Annuity funds. The key thing to recognize is that we have very, very liquid portfolio currently against a very liquid balance sheet. And that illiquidity has benefited the banking sector to-date. We would be looking for investments which could have slightly different correlations to the Annuity, but we’re not looking to match the interest rate sensitivity or to create a cross-section of the annuity fund and the shareholder funds, but to use the shareholder funds to take advantage of direct investment opportunities that suits shorter-term requirement that the shareholder funds have.
Nigel Wilson: Again, we may at some point hold an investor breakfast and go through in a lot more detail some of the – part of the details covered in the report that comes, quite a lot of detail on it, but I think there is an appetite probably for some of the people in the room for an even deeper exploration of actually what assets that we’re investing in the two different parts of business to pick up your last point, very relevant point, Jon. We don’t want them perfectly correlate it, and indeed that’s part of the job of the team is to make sure that they are not correlated. Mark, do you pick up the...
Mark Zinkula: Yes, certainly, active equities. So we have had an active equities business for a number of years. We haven’t talked a lot about it because it hasn’t been that successful. It has primarily focused on the retail market. And we’re repositioning the business right now to move away from strategies that are index plus oriented. So we are not completing directly with our passive business. And other strategies that just aren’t really consistent with the LGIM brand. So we’ve got a variety of hedge funds that were launched in the past, and we’ve closed down all those over past couple of years. So we are refocusing those resources to be now we’re going through a process that’s involving lot of individuals and the teams, so we are being careful what we stated now, we’ll share more once we get through that process, but ultimately have some strategies and investment process where there is clearly an active component that can’t really be replicated neatly in a passive format, that would also either complementary for the products that we are developing, particularly for the DC space that can also be sold in the Private Wealth space and in the Institutional space. So in addition to Retail, so ultimately having a team is probably going to be – probably end up being slightly smaller, more focused and more focused on those types of strategies conceptually, and we’ll provide more details once we work through the process that we’re going through internally.
Nigel Wilson: And again being a destination of talent, Lance Phillips joined us from the Standard Life and has made a very positive and significant start to the business here. And next question please?
Unidentified Analyst: My first question actually…
Nigel Wilson: How many of you’ve got first grade here [ph]?
Unidentified Analyst: Yes, I’ll give you three questions, but it dovetails – it’s actually two because you didn’t answer the dividend question. What I was interested to knowing, I do appreciate the Solvency II regime is hitting to more favorable outcome, but isn’t it fair to say that you’re rating agency model is also a key constrain to – I mean would that prevent you from under that regime, would have surplus capital, just trying to understand solvency pulls away but then rating model is constrained. Turning to two other questions is one is Lucida [ph], I wondered if you can just give us an idea on the strain that we’ll be expecting from that in the second half already certain release and the EV margin on that? And the third question is, I was just puzzling you had 15,000 deaths, I was wondering sort of what percentage have linked underwriting data – enhanced in this period underwriting data, because isn’t it fair to say that most of those 15,000 deaths aren’t very useful in the enhancing pace, so I’m just trying to understand what percentage is actually linked to decent underwriting death?
Nigel Wilson: The last question has no interest in partnership certainly. And I didn’t quite get the dividend question in there, but I may be talk a little bit about solvency.
Unidentified Analyst: Is it the rating agencies (inaudible).
Nigel Wilson: I mean never be an issue for us before and it’s a new question for us, but it’s not one that we really – we did get upgraded our recent (inaudible) because we were in America on the rating agency side, but the Solvency II regime is heading to some sort of solution. I think everybody in the room probably expects that to be so much more positive solution than where we were three or four years ago. I see a capital surplus is bigger than IGD capital surplus. And so we’re not being presumptuous, but we assume we will be in a very strong capital position and continue to be in a very strong capital position going forward, but you can’t be certain until all the, I’s and T’s are dotted and crossed. So we are being watchful of that. And one of the things that we’ve done in the last few years is create this huge headroom and buffer in case there is any macro shocks that we’re not expecting or any regulatory shocks. We haven’t seen any of them. The technical question – the question on strain, is do you want to...
Mark Gregory: Just quickly, we didn’t give precisely account in terms of the actual how it’s going to play through the IFRS account, but we did reiterate when we announced the completion of the deal yesterday that given – expected releases on capital and reserves, we are going to be – we will have paid just have a 50% of embedded value for the transactions. So I think we are expecting there to be a surplus in the second half for this year on annuities.
Nigel Wilson: And I don’t know whether they – no way even you can answer that question, Kerrigan, but we’ll give it to you anyway.
Kerrigan Procter: Well I guess I’ll pick up on the points on data. I mean just characterizing what we have in longevity. We have a fantastic capability in what they call big data informed by experts. So the big data capability is really statisticians and programmers in-house to really crunch and analyze that data in formed by medical longevity and natural experts internally. And then externally, that’s complemented by our university links, so particularly UCL and then that’s overseen by an expert panel of longevity science advisors chaired by Dame Karen. So, that’s a very formidable beast. If you free that formidable beast with data and point it in the right direction, you get very robust results indeed. In terms of the specific data question that you have there, 15,000 deaths per annum. That gives us a great understanding of ultimate mortality, and as we deploy that formidable beast on the broader sets of data that we can get, that include a medical data and cause of death information, then I think we’ve got a very strong capability indeed to build our capability in the enhanced market.
Nigel Wilson: John is there anything – I mean given that you are one of our mortality and longevity gurus around here. Anything you’d like to answer there?
John Pollock: Well I think Kerrigan for a new boy that was a pretty good answer to be honest. No, I don’t think there is much to say. Our data capability is we believe more substantial than anybody else’s in the market. And as Kerrigan alluded to, the science that we have undertaken to go around and selecting or applying to our selective pricing is based on that big data. Others claim all sorts of impressive statistics is we just go and look at the fact, as we have 30 million annuity years’ worth of data and are very, very solid in our pricing. And remember enhancements, we started it in the scale market with push for pricing. So any increase to an annuity beyond standard rating is an enhanced annuity, it’s not that kind of narrow definition that’s currently being bandied around. And we were very confident at that time in our capability to price that on the back of our data. So Kerrigan gave a competitive answer. Well done.
Oliver Steel – Deutsche Bank: Oliver…
Nigel Wilson: If I move around the room. I’ve been very focused in this one area.
Oliver Steel – Deutsche Bank: Oliver Steel at Deutsche Bank. I find the questions I really want to ask you, you’re refusing to answer. So I’m going to try again. First to John in terms of the synergies within LGAS, in that case you’re not going to give us some numbers, but I wonder if you can just talk in a little bit more detail about where the synergies are at least in terms of revenues and perhaps give us a little bit more of a hint as to where they are in terms of costs? Secondly, on the dividend issue, and Solvency II, and it’s linked to my third question which is, I mean you have that you’re saying more of a surplus on the ICA [ph] than under IGD. You’re looking to spend I think you said its roughly between £0.5 billion and £1 billion acquisitions, but actually acquisitions you’ve made so far I suspect barely covering the level of excess cash generation you’re making year-to-date. So I’m just wondering let’s pin that down to two questions. Is any dividend re-basement likely to include capital as well as reducing the cover? Secondly on the acquisition front, are you actually able to fund sufficient acquisitions to cope with the capital and cash generation you’ve got?
Nigel Wilson: John, do you want to talk about the synergies market? Do you want to pick on the dividend, and I’ll pick up the acquisition?
John Pollock: Yes. It is fairly early days to give any detailed thing, so we’re not ducking the question, Oliver. The kind of synergies that we did talk a little bit about very obvious one, and what play savings as we are seeing schemes transition to the new form of workplace savings, so we are picking up quite substantial opportunities in our Group Protection business. So we have seen Group Life, you saw 44% increase in Group Life. We’ve also got opportunities there for the workplace rehabilitation stuff that we’ve been driving. Bringing the two businesses together creates a single capability for proposition development with employer. So that’s just a narrow single example. All of our digital work, that we are doing clearly – customers engage with us digitally. What we had been doing was driving more product-specific digital solutions that we are now bringing together in a single coherent fog and it is our intention to underpin that with the Cofunds technology and build out from there into a customer-centric services and allow people to – I prefer the term cross-buy rather than cross-sell. So we are enabling capability. We can deliver that through. Now all of those things will emerge and we will talk about them increasingly as we go forward. In terms of cost synergies, it’s obvious you bring two businesses together, all of the supporting functions, all of the capabilities that we have. We had built to have two big divisions. We can find synergies there. And also as I alluded to my speech all of the things that have been driving the need for cost reduction, we can bring single solution, single Digital, single IT capabilities that drive lower needs for specific solutions being developed on a product by product way. So, Andrea has got a whole program of work. And we will bring to – we will give much more specific targets, goals and aims when we talk to you in October.
Nigel Wilson: Mark, do you just want to…
Mark Gregory: Well our third go at the dividend. Yes, perhaps would have questions around how we think about stock, how we think about flow and acquisitions and dividend where it all plays. I think fundamentally, I do see dividends being a fundamental link to the flow, and I do see M&A primarily link to the capital stock and the use of that. So clearly those two things are not permanent flavor, but in terms of when I think about the underline exam questions that the way kind of come out here. As Nigel, says we will try and offer greater clarity at year-end. We are seeing more focus on Solvency II. We said we also had (inaudible) in the past but we can’t take two strides forward and three strides back again, so but we think time around there might probably some greater clarity beginning to emerge. In terms of your point around, I’m not fair enough to kind of your capital stock up – capital surface on IGD basis was flat year-on-year at £4.1 billion, and we did actually see a £0.5 million net cash production in that being spend at £140 million on the dividend, £135 million buying Cofunds, $100 providing temporary capital for our XXX reserves in America. So in some ways, we are spending some of the capital stock but then as you it’s pretty stable at this point in time.
Nigel Wilson: I think just to give you a bit – one particular data point. When David Prosser was Chief Executive, the cross-selling in his company was 1.11. After 15 successful years, we’ve driven it up to 1.12.
Unidentified Company Representative: 1.13.
Nigel Wilson: 1.13, okay 1.13. Outperformed by a huge amount, but there is a very large potential and I think one of the things that the team has done has really act as a team increasing there and there is a great deal of cooperation across the Group. It’s a metric whether you call it cross-buying or cross-selling, it’s a metric that we’re increasingly going to measure across the Group and incentivize, because incentives drive behavior and the behavior are the most credibly positive across the Group and we’ll capitalizing on that. And we’re seeing customers who want us to do that. And one of the great successes of Mark’s business on LDI is that we’ve done a lot of cross-selling to customers in that space. On acquisitions, you seem to be implying that Wadham is not pulling his finger out. He has only done three deals in three months and we see today when he could have been out there doing some further work. So if you want to give him a hard time out afterwards, I’ll – that we’re going to do. But we are seeing a much better deal flow across the world at the moment and more opportunities, but we’re being very selective and we’ve already said that we’re not buying SWIP, we’re not buying the Co-op. There’s lots of things that we’ll get rumors to be buying in the newspapers that we’re not buying. We’re very much trying to stay very disciplined to the five growth themes and stick very consistently to them across our business.
Gordon Aitken – RBC Capital Markets: Thanks, Gordon Aitken from RBC. I’m going to follow-on on this dividend point. But you’ve made a comment about the dividend and Solvency II and to make that comment, you must feel, there is an expectation that your dividend guidance is going to change one way or the other. So are you implying your holding onto additional capital, and in your answer to this, can you include comments on the corporate bond for provision which still exists. I reckon cash cover is 1.8 times, IFRS cover is probably 1.7 times. It’s still higher cover than some of the big corporate pension writers in the U.K., so what is the right level of dividend cover in your view?
Nigel Wilson: I think, it’s a personal view and not yet a Board view. I mean I think the Board has said to Mark, can you come back after you’ve been Finance Director for few months and articulate. I think I’ve always had the view that we could payout more in dividends. We’ve had a very progressive dividend policy for a number of years now. If you look at your own focus as analysts around dividends that being much behind what we’ve actually paid out in part because our operation cash and net cash has been much better than we thought. We’ve said we’re going to unwind, this is specifics on that. We’re not going to give them today. It’s unfair on Mark. He is only been here a few weeks doing that job. We will absolutely give it in March. We’re expecting Solvency II to not end in tears, I think Carl Dowthwaite’s here and John Godfrey had done an outstanding job of articulating the industry to position along with the Treasury and the PRA. I am very happy with the direction of travel, that is going on. We don’t know that for certain, because there has been behind the scenes all sorts of changes in Solvency II, as we think before we’ve been heading for a solution. As we get clarity – we’re just going to have to wait until March. Your role models and yours in particular has proven to be reasonably accurate at this moment. So you should pat yourself on the back and say you did pretty good job of getting it right, and trusting us that to the extent that we can deliver, accelerate a dividend growth, we will do. Andrew?
Andrew Crean – Autonomous: Andrew Crean, Autonomous. Can I ask three questions? First, could you expand a little bit on your confidence on Solvency II because as I understood the EIOPA came out, they granted the matching premium method, but it was so restrictive that I thought lot of the U.K. companies were unhappy with it. I know they are undergoing discussions at the moment, are you just indicating those discussions in the EIOPA’s response to those discussions is helpful? Secondly, on LGIM, the switch backing risk free rates from May, could you just give us a bit of comment if that were to persist and continue and we are in a changing higher rate environment, how you’d see that for your business? And couple of detailed questions. What was the weather in the first half relative to what you’d normally expect for GI? And secondly, this change around in the shareholder funds portfolio yield, what are you expecting the portfolio yield to increase to?
Nigel Wilson: Well I will give my weather guru Mr. Pollock sometime to prepare the weather question. And afterwards, if you’ve got some very technical questions, Carl is here sitting in the front row, he can go through in a lot of detail but your overall governing thought, was really EIOPA gave a position, a position a very technical position. It’s then thrown open to discussion and debate. And the key point I think that we’re seeing is that the regulation is reflecting economic reality than the drive for growth. We always felt the original Solvency II solutions were designed for a different era if you like to prevent a financial collapse of the system. And I think people are looking at us and companies like us to perform a much wider role in terms of the step-up their reform and economic growth in particular. So we do expect the matching premium and various other adjustments to be made away from the original EIOPA proposals which I always think were technical solution rather than the ultimate commercial solution, but Carl can go through some of the more technical details around that afterwards. Mark, do you want to comment on LGIM. John, if you pick up the, what about the weather? And Paul, you might have another go at the Direct Investments?
Mark Zinkula: I think if rates continue to trend up, or I think you have to look at the nature of our client base so the vast majority of our clients are invested, and whose behalf we’re investing in fixed income securities, are pension plans that are liability task to the other side if you will, so as rates increase that would cause more plans to accelerate de-risking strategies, especially if the equity markets stay at reasonably elevated levels, that will help the fund status situation so that would increase demand – actually increase demand for fixed income and all the others investments. So we’ll expect there to be lot of outflows as a result. In the retail space, where we have a much smaller percent of holdings there tends to be a backward contraction often times with the asset market movements. Flipside though is that obviously we’ve put down our pressure on AUM and reduced our fees accordingly, so there is kind of a natural offset if you will which should generate more business but the AUM would obviously go down as rates go up.
Nigel Wilson: John, you want to talk about the weather?
John Pollock: Yes, my call if the risk businesses we tend to have a real – one of these big data model, so we look really, really carefully at long-term trends, averages and deviation from that. Look at the incidence and the impact of flood free. And I can say it with absolute confidence from studying that the weather in the first half of this year versus everything else was better. It’s not such a silly question actually. We’re probably somewhere slightly just a touch. Well I’d rest low teens on core something of that order better than normal run of events. So we do have a normalized expectation of weather and clearly ‘81 core, we were massively inside that norm, and I would say this point to the year we’re probably low teens better than the norm. Sorry, for having a laugh at your questions.
Nigel Wilson: Paul, is there anything you want to add on Direct Investments that we can help?
Paul Stanworth: Yes. What I would say on the Direct Investments side is that the shareholder funds as I mentioned are in very liquid and assets at the moment, and because of the general state of the market, the returns are low. If we were able to select a third of the shareholder funds to increase the portfolio returns by just 1% then we would have another £20 million coming through on shareholder funds. Yes, it’s just if you take roughly a third of the £4.5 billion. The way that we’re going to approach it is that we’re going to approach it by setting volume targets, and the reason is that we’re looking for incremental value with the direct investments. So our concern around volume targets is that you may – we may compromise the quality of the assets that are coming to the portfolio, and we’ve created a discipline around an independent valuation of the risks that we hold in all our Direct Investments because it’s an underwritten model and not a trading model, and we came to make sure that we’re selling scope to put our assets into that portfolio by not setting targets so that we’re rushing into investments that we don’t think incrementally a good value in the long-term.
Nigel Wilson: Thank you. I think we’ve – one last question. And I’ll let you ask the last question and then I’ll sum up.
Alan Devlin – Barclays Capital: Thanks, Alan Devlin from Barclays. Just a question on your LGIM pipeline, I think you’ve had £8 billion of flows in the first half which is more muted in the order of last year, and what the pipeline is looking, just to get in your comments on your higher interest rates leading to people more like the de-risk pension on the LDI side? And then the same question on the Bulk Annuities as well. You’re higher interest rates leading people to de-risk. I think you said you had £500 million of premium already in July? And then sort of a question on the auto enrollment, if you could comment how close in auto enrollment you are and where place pensions to breaking even, and if you’ve included all the cross-sell opportunities as well from auto enrollment through the Group business or LGIM the default, fund side more of selling annuities eventually. What’s the economics about business like in total for L&G? Thanks.
Nigel Wilson: Yes. We told you’re going to take them in then (inaudible).
Mark Zinkula: In regards to the pipeline, yes we did have a fantastic first half of the year. We had a good fourth quarter of last year. So (inaudible) excellent, however as I would call last year August, we kind of laid an egg, it was very quiet so that’s what jinx us, but the pipeline continues to be strong. We’re definitely continuing to gain traction, gain momentum in the U.S. business. Performance is absolutely excellent and the pipeline remains strong there. As you saw we’re starting to get more traction now and expanding our index business beyond the U.K. as Nigel has pointed out. I think it’s replaced that our DC asset growth. We need to see more acceleration there. We’re taking several steps to do that. So I do feel reasonably confident that we can continue to have strong gross inflows. However, we’re also seeing in the last few months more elevated outflows as well. So as plans of de-risking that causes – it puts more pressure on us to retain those assets, not all the plans will de-risk with us even though we’ve taken a lot of steps. I think we have a very good plan in place to retain those assets even within LGIM or ultimately into Kerrigan’s business and still retain the assets within LGIM in that sense, but ultimately as rates go up that does put more pressure potentially on outflows as well.
Nigel Wilson: Mark, do you just want to...
Mark Gregory: Yes, your point, Alan, about kind of growth and where we’re breakeven on workplace and we’ve got £7.3 billion now on our workplace pensions platforms, that’s £27 billion of net inflows in the first half of this year. So we are getting in there. So I think obviously in the path. We are going to need probably rethink a low early kind of double-digit billion on the platform to kind of get to that breakeven, but we’re not seen as being – it’s just not a point in how to get a breakeven, its being a long-term value creation opportunities, not just about we want to get to breakeven, that’s obvious than first principles but we do see it as being a sort of potential long-term value. On your wider question around, is it downstream value asset. We don’t price really on that basis, so we’re absolutely – we’re priced to underwrite all these schemes based on the actual dynamics purely in terms of what it means to the workplace given isolation, but you’re right, actually lot of the assets do get managed by LGIM, I think it’s still around 90% of the assets we’ve acquired are going into LGIM funds and subsequently down the track. We would expect to call out those to annuitized with Kerrigan’s annuity products but we don’t priced you on that basis. Actually it worked out what the downstream value might look like to see would get us to the group breakeven point, but it certainly helpful Alan, it can’t be unhelpful because there is clearly value downstream if you’re not currently allowing for in our accounting.
Nigel Wilson: I think in general it’s really about execution. The pipelines are all pretty full. And it was notable the other day in the U.S., we had a great success because Mr. Zinkula went along to the pitch and did such a fantastic job with the client decided to by there and then. So we’re all lending a bit of a hand too. The annuities pipeline is very full here in the U.K. both standard deals but also for longevity and insurance, and we’re increasingly looking at Holland, the Netherlands, Holland and Ireland, the Canada and the United States where we’ve been doing research for about 18 months to two years to see whether there is opportunities. So, a very measured response to those areas. Just in summary, there is a great court at the back on new business from Dave Brailsford [ph] who is very kind of let use that court but also very nice photograph of himself, because it’s all about execution and we really see the chance to move Legal & General forward is really about how well we execute. The opportunities are all there. The regulatory economic environment is improving, and we’ve identified five growth areas which at the moment, the macro trends are resulting in winning strategies. We just got to continue to execute very well. We definitely see ourselves as test match cricketers rather than 20-20 sort of guys. It is about ones and twos and building a big score gradually. And just I’d like to thank Kate. Kate has been doing IR for some time, and certainly she has been poached away by Andrea to form part of her team in driving together the Savings and Protection businesses with John. And I hope she makes such a significant positive contribution in that area. And we would be announcing some changes to that in due course. But thank you again for all of your support. Legal & General is very much still work in progress. We’re not being complacent about the performance we’ve had in the last few years. There is a lot still to go far, and we’re pretty determined to execute the plans that we have, they are very ambitious plans that we have for growing the business. So thank you.